Operator: Good afternoon. My name is Kelley and I will be your conference operator today. At this time, I would like to welcome everyone to the Emera's Second Quarter 2015 Results Conference Call. After the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, today's call is being recorded on Tuesday, August 11, 2015 at 10:00 o’clock Eastern Time. I would now like to turn the call over to Scott LaFleur, Manager of Investor Relations. Please go ahead, Mr. LaFleur.
Scott LaFleur: Good morning, everyone and thank you for joining us for our second quarter conference call this morning. Joining me from Emera are Chris Huskilson, President and Chief Executive Officer; Scott Balfour, Executive Vice President and Chief Financial Officer; and other members of the Management team. Emera's second quarter earnings release was distributed earlier via Newswire and the financial statements and Management discussion and analysis are available on our website at emera.com. This morning, Chris will begin with a corporate update and then Scott will review the financial results. We expect the presentation segment to last about 15 minutes, after which we will be happy to take questions from analysts. Please note that all amounts are in Canadian dollars with the exception of Emera Maine and Emera Caribbean, where segment results are reported in U.S. dollars. I'll take a moment to remind you that this conference call may contain forward-looking information which involves certain assumptions and known and unknown risks and uncertainties that may cause actual results to materially differ from those that are expressed or implied by the comments. Those risks include but are not limited to weather, commodity prices, interest rates, foreign exchange, regulatory requirements and general economic condition. In addition, please note that this conference is being widely disseminated via live webcast. And now, I'll turn things over to Chris.
Chris Huskilson: Thank you, Scott, and good morning, everyone. Emera delivered another solid quarter in Q2 with adjusted net income of $48 million or $0.33 per share compared to $44.2 million or $0.31 per share in Q2 last year. This represents 6.5% growth in adjusted earnings per share quarter-over-quarter. Overall Emera has had a great start to the year. Adjusted net income year-to-date was $219.6 million or $1.51 per share, up 15% from the same period in 2014. Due to Emera’s continued strong growth, our year-to-date results and our recently completed long term strategic review of the business, we’re pleased to announce an increase of 18.75% in our common dividend to an annualized rate of $1.90 per common share and that’s up from a $1.60. We’ve also increased our annual dividend growth target to 8% for year through 2019 from the 6% that we previously had. The new target is supported by our increased earnings visibility for Maritime Link and Northeast gas facilities, strong cash flows and continued confidence in the ongoing growth of our business. Scott LaFleur will take you through the details of the quarter later in his remarks, but first I’d like to touch on some of the key strategic and operational milestones Emera reached this quarter. I’ll start with the Maritime Link, which continues to progress as planned on schedule and within budget. With all major contracts now awarded, construction and manufacturing is well underway. Civil construction as a converted station sites in Nova Scotia and Newfoundland are now complete. Right away clearing has been completed along the DC transmission routes with clearing on the AC route progressing very, very well. Manufacturing of the first submarine cable has begun and is progressing well. Transmission tower manufacturing is also begun and initial shipments are on route. We are also advancing the project from an environmental and community perspective. We have agreement signed and positive working relationships established with the first nations and other stakeholders in both provinces. Overall, project risk continues to decrease as the project progresses. And we have a high degree of confidence that the cost to complete the project will remain within the budget through to completion. Our New England gas plants continue to exceed our expectations, plant upgrades have been completed that will provide new energy and capacity revenues up into exceed our original estimates. An upgraded Bridgeport was recently completed adding 20 megawatts and increasing the mail play capacity to 560 megawatts. Bridgeport now has both of its units upgrade providing an improved head rate for the entire plant. This is also adding the future revenues and in addition to this, we are pursuing a 20 megawatt upgrade at Tiverton Power Plant for 2016. In Nova Scotia, the focus remains on managing cost to ensure stable predictable and affordable rates for our customers. We continue to work positively and proactively with our regulator stakeholders and the government of Nova Scotia. Nova Scotia Power recently filed its base case of fuel for Nova Scotia with in front of the Nova Scotia Utility Review Board and to beginning January 1st, 2016 overall FAM rates are forecast to slightly decrease for the vast majority of Nova Scotia Power’s customers. The Bay of Fundy is a tremendous potential resource for renewable tidal energy. Emera has entered into a joint venture partnership with open hydro creating Cape Sharp Tidal. The ultimate goal of the partnership is to develop a commercial tidal industry in the providence. HR tidal will install a two turbine demonstration array in the coming months. We’re committed to over 70% of the cost associated with these first base things that local in Nova Scotia. And we believe developing at commercial tidal industry will intimately provide substantial economic benefits for the entire region. In New England momentum continues to work for care met of clean energy as well as associated transmission needed to move that energy to load centers in Southern New England. The draft request for proposals related to renewable and transmission which was issued for stakeholder comments in February by utilities in Massachusetts, Connecticut and Rhode Island is continuing. What changes is the amount in the solicitation. The three states are now seeking at least 5.1 terawatt hours up from the 2.3 terawatt hours that was originally proposed. The additional energy is due to new Procurement Authority in Connecticut which was signed into Law in early June. The additional Procurement Authority of 2.75 terawatt hours in Connecticut is for large scale hydro, renewable and transmission delivery commitments under our 20 year contract. The RFP has been referred for approval to regulators in Massachusetts and Rhode Island. Ones these proceedings are complete; the RFT is expected to be formally issued later this year. Emera continues its partnership for Central Maine Power proposes upgrades to the AC transmission system; it would allow more clean energy that flow from Northern Main and Canada. We believe these upgrades would be among the most cost effective options for electricity customers. Emera and its partners continue to examine the options and to prepare to respond to the RFP with solutions that would help the region meet its goal with greenhouse gas reductions and renewable portfolio standards. In addition to the regional procurement already in progress, Massachusetts’ Governor Baker recently proposed a bill that would procure 18.0 terawatt hours of standalone hydro and wind farm by hydro. The legislation would require the first procurement be initiated by April next year. This is a clear indication that the value, the administration places on the type of renewable energy resource is available in Atlantic Canada. We’ll be engaged as a stakeholder in discussions around this proposed bill as it moves through the legislator process in Massachusetts Cesspool. Emera is well positioned to meet the regions needs and are focused on delivering the right solution. Moving to the Caribbean, our utility scale solar plant in Barbados is progressing well. Due to efficiencies gain through design and land are prepared the original 8 megawatt facility will now be 11.8 megawatts. We’ve completed land preparation and signed an EPC contract. The solar plant the initial stages towards a strategic vision to see Barbados a 100% renewable by 2045. Overall Emera’s strong results reflected the continuing success of our strategy and the complementary portfolio assets we’ve assembled. We have confidence in our strategic plans and in meeting our growth targets. With that I’ll turn things over to Scott, for a more detailed review. Scott.
Scott Balfour: Thank you, Chris, and good morning, everyone. Our second quarter results were released earlier today and are now on the Emera website. Emera’s consolidate net income for the second quarter 2015 was $10 million or $0.07 per share compared to $24.5 million or $0.17 per share in the second quarter last year. When the Q2 results are normalized from mark-to-market losses, adjusted net income was $48 million or $0.33 per share compared to $44.2 million or $0.31 per share last year. The results in adjusted net income - the increase in adjusted net income is primarily due to higher contributions for Emera Maine and the impact of stronger U.S dollar, partially offset by the restructuring costs at Barbados Light & Power. Turning to our segmented results, Nova Scotia Power contributed $16.9 million to consolidated net income in the second quarter 2015 just less than the $17.1 contributed in the second quarter last year. In 2015, we expect full year NSPI earnings to grow modestly compared to 2014. Emera Maine contributed $13.7 million to consolidated net income in the second quarter of 2015, an increase of 6.7 million compared to the second quarter last year. The higher net income was primarily due to transmission revenue adjustment, reduced overhead and maintenance in general cost and depreciation expenses and the impact of the strong U.S. dollar. Emera Caribbean contributed $4.8 million to consolidated net income for the second quarter of 2015 compared to $7.8 million in Q2 of last year. The decrease was primarily due to corporate restructure and cost of Barbados Light & Power, partially offset by payroll cost savings and reduced maintenance costs. Barbados Light & Power intense to differ and thus recovered these corporate restructuring costs upon completing of its regulatory filing later this year. The Pipeline segment contributed adjusted net income of $9.2 million in the second quarter of 2015 compared to $8.3 million in the same quarter last year. The increase of $1 million is primarily due to lower interest expense and the impact of the stronger U.S. dollar partially offset by increased income tax expense. Emera Energy delivered adjusted net income of $3.4 million in the second quarter compared to $5.2 million in the same quarter last year. The $1.8 million decrease was primarily due to lower contributions from trading and marketing and interest - and increased interest expense partially offset by increased contributions from Emera’s equity investment in Bear Swamp and increased electric margin at the New England gas generating facilities. Trading and Marketing has seasonal profile with first quarter and fourth quarter generally the strongest quarters and weaker quarters in the second and third quarters. We believe the sale of our marketing and trading business can be generally expected to provide $15 million to $30 million per year in net income. The business is on track to be within the higher end of that range for the full year results. Our New England gas plans performed well, despite weak market conditions in the second quarter. A decrease in sales volume in the quarter was more than offset by an increase in realized spark spreads. We continue to be opportunistic in our hedging of the plants and are generally prepared to commit up to 50% of our capacity if conditions present themselves. The market volatility in 2014 that provided us hedges that extremely high spark spreads in the first quarter of this year did not continue through the second quarter. However, we have hedges in place for approximately 20% of capacity for the summer at about a $15 spark spread and 40% of next year’s winter capacity at an average spark spread of $36. Our Corporate and Other segment posted a $100,000 loss in the second quarter of 2015 compared to a loss of $1.2 million in the same period a year ago. The improved results are primarily due to a decrease in interest expense due to the maturity of long term debt and increased income from equity investments, partially offset by increased business development costs and preferred stock dividends. That’s all from my financial overview and we now be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Linda Ezergailis of TD Securities. Go ahead caller, your line is open.
Linda Ezergailis: Thank you. I just have a question about your new dividend policy. Do you also have a payout ratio target as a function of either earnings or free cash flows?
Chris Huskilson: Linda, we generally look to target a payout in the range of 70% to 75% of earnings that really hasn’t changed. And when we think about setting dividend, we also think about our cash coverage ratio and generally look to target a cash coverage ratio of 2.5 times.
Scott Balfour: And Linda, the other thing just to know is, the dividend we are setting now is really focused on 2016 and so the tail end it will be paid in the last quarter of this year and through ‘16.
Linda Ezergailis: Okay, that’s helpful, through 2016. So when I think off of what you will grow your 8% target, it will be off of your new $1.90 level and when would the board typically review that, would that be an annual review and what time of year would that be?
Scott Balfour: Yeah, it will continue to be in the third quarter as this one was.
Linda Ezergailis: Okay and so that will be in the Q3 of next year, will be the next growth off of current announced level?
Chris Huskilson: Well, as always it’s a board decision but that’s what we would expect.
Linda Ezergailis: Okay that’s - thank you. And just as a follow-up, how might your financing strategy change it all with your higher payout ratio and I guess with some of the strong growth prospects in front of you?
Chris Huskilson: Well I think first of all Linda, there is not a higher payout ratio; this is the same payout ratio we’ve been targeting for the past seven or eight years. And so I think we’re continued to be completely in line but I just ask Scoot to speak to the financing approach.
Scott Balfour: Yeah, I don’t think there is any material impact on our financing strategy at all Linda, that’s as Chris said payout ratio is really targeting exactly the same as that has been. Our financing plan continues as it has been as well.
Linda Ezergailis: Okay and just with a change in the pref market, recently there is no change to your financial strategy either any other considerations?
Chris Huskilson: No, I mean we certainly watch the pref market and as you know through the end of 2017, we are targeted some pref financing, but there is no urgency to the timing of that. We continue to watch that market if there is a need to rethink the sort of the allocation of refinancing plans will do that, we certainly don’t see any need to do that now.
Linda Ezergailis: Thank you.
Chris Huskilson: Thank you, Linda.
Operator: Your next question comes from the line of Paul Lechem from CIBC World Markets. Your line is open.
Paul Lechem: Thank you. Good morning. Just some questions around the New England strategy and Chris you mentioned you have a paring to respond to an RFP, can you give us some thoughts about actually what that would in tale the magnitude, what kind of approach that you plan to respond with?
Chris Huskilson: Yeah, I think that really falls into two categories and maybe I’ll start off by asking Alan Richards and how is our new President and Chief Operating Officer at Emera Maine to talk about what they are doing in the state of Maine and just would note that Jerry Chasse has moved on, he is now leading up our smart grid strategy for the organization. Alan?
Alan Richards: Sure, good morning. So speaking for Emera Maine, we were in the good position I guess of being next to a large quantity of renewable energy. In the case of Northern Maine, we have upward to 2,000 megawatts of wind power that could be developed and many people interested in developing that source as well. We board on [indiscernible] so we are between sources in Canada and the Southern New England state better looking to procure this energy. So at Emera Maine, we are focused on a set of AC upgrades, we think that we can put together solution I guess that would be ring in clean energy and some AC transmission upgrades that would as a package be very competitive bit into the RFP process.
Chris Huskilson: And Paul beyond that Emera will - so what will happen is Emera Maine will actually offer their upgrades into a number of different potential suppliers and so they may well be participating with a number of different producers. In the case of Emera directly, we are working with our partners here in the Maritimes in Atlantic Canada including new core energy to put together a bundled package that would see energy coming - surplus energy coming from Muskrat plus potentially some additional wind that would be from this market to actually be a complete bundled package for the RFP as well. And so really those two aspects, first and foremost we are very focused on getting the AC upgrades to market. We believe that they will be the most competitive approach that any of the producers will be able to work with. And then on top of that we likely will see a potentially a small DC project proposed as well.
Paul Lechem: Okay and where does all those leave the Northeast Energy Link product, is that still a go or is that have been pushed aside for now?
Chris Huskilson: Well, NEL is still one of the projects that would be part of a bigger solution but the 5 terawatt hours that we are talking about here is not enough to make any outgo, it’s really needs something in the order to eight plus terawatt hours in order to be justified. So we’re thinking that this is early stage is probably AC or much lighter DC then we would have proposed under NEL.
Paul Lechem: Alright, just and then the - just a response with Central Maine for the AC upgrades in the life, when would that likely be up and running if you respond to the RFP this year?
Chris Huskilson: Yeah, I think the object of the RFP is to get something going by the 2020 timeframe and so we would certainly see this investment happening in the later part of this decade.
Paul Lechem: Perfect. Alright, thank you.
Chris Huskilson: Thank you.
Operator: Your next question comes from the line of Andrew Kuske of Credit Suisse. Your line is open.
Andrew Kuske: Thank you. Good morning. Alaska more specific granular question first and just in Maine of the electric revenue and the other category, what happened to year-over-year delta, I know it’s small in the grand scheme but just curious on how - why that number jumped up so much?
Chris Huskilson: Yeah, the couple of places where other revenues are noted, I just wanted to find the particular spot.
Scott Balfour: Maybe I can help a little bit. Andrew, it’s Scott. So one other things that we do is we are looking so, the regional revenue that comes from our FERC based transmission gets calculated and adjusted on a frequent basis. We now accrue for that on a quarter-by-quarter basis as estimate the impact of that and then it gets trued out ones the actual calculations are done. So there is a small component of that but that impacted in the quarter and also true up with the finalization of a portion of the FERC based revenue set with the reduced ROE that trued up in that as well. So that was that the modest levels of impact that had on transmission revenues in the quarter.
Andrew Kuske: Okay, that’s helpful. And so bigger broader question now, just on your transmission positioning and really as transmission positioning and both pockets on gas and electric in New England, how do you this really evolving with the administrations really initiatives that announcements of I guess two weeks ago now to really what to face our call, introduce GHG emissions standards, like there is a whole series of things that get wrapped into this. So how do you think about your positioning, does you really have your both avenues you can pursue given the existing asset base, so everything is changed, is this just really make your investment base stronger?
Chris Huskilson: Yeah, I think Andrew that’s the way to think about it. Certainly the New England states have already been on a path that is completely aligned with what the administration is currently taking about. And so what we - the way we see this is it just firms up the things that we’ve been working on for some time. And so I think we also take the indication from Governor Bakers announced legislation that administration in Massachusetts is focused in the same way. And so we see all of this as leading to the type of approach that we’ve been working for some time. So the first RFP which will be in the 5 terawatt hour range is very likely nicely suited to the AC upgrades that we are talking about and we think that production around those upgrades will be very competitive as a result. But then as you start to think about something like 18 to 19 terawatt hours which is what it takes to get to the next stage of GHG reduction then that’s going to probably push a couple of large DC project. And so that really absolutely aligns and I think meets the requirements that what the administration and not Washington would be pushing.
Andrew Kuske: So then just a follow-up on that, do you start to think about this - all these initiatives start to firm up your growth maybe at late ‘16 early ‘17 we get better year-over-year growth capabilities at the end of the decade and then early 2020s?
Chris Huskilson: Yeah, well as you know, to 2019, 2020 we already feel very confident in our growth. We’ve been putting that forward for some time and as we’ve targeted the 8% growth on the dividend side that’s essentially where we are from an overall perspective. So that’s firmed as we would be here today. What we’re really looking to do is to put projects in the later part of this decade that will start to push the 2020 and beyond growth and that’s where our focus is today. So we’re focused on putting another let’s say 0.5 billion plus per year into that later period and projects like the AC upgrade will do that very nicely and certainly projects that would be focused on DC will more than do that.
Andrew Kuske: Okay, that’s extremely helpful. Thank you.
Chris Huskilson: Well, thank you, Andrew.
Operator: [Operator Instructions] Your next question comes from the line of Robert Kwan from RBC. Your line is open.
Robert Kwan: Good morning. Just wondering with the strategic review that went on, can you just talk about any major collusions or changes from last year’s plant?
Chris Huskilson: Well, I think fundamentally we’re getting a lot more visibility. Another years passed, the capacity markets have matured again from a gas plant perspective, we now are seeing the Maritime Link construction take place. All our confidence in our next few years is keep growing stronger all the time and I think that’s a big part of what’s happening. As well we are also getting a much better understanding of two Linda’s questions, how we are going to finance through that piece, we’re getting a much better understanding of how we will actually structure the business going forward. And so all those things are all part of what we’re spending a lot a more time on these days. And I would ask Stock maybe to jump into a little bit of that as well, because I know he’s done a tremendous amount of work in understanding where we ahead it.
Scott Balfour: Yeah, I think the only thing I’d add to that notably is, is part of that financing is as we’ve been communicating to shareholders but increased cash generation capacity and a visibility of that obviously has a positive impact as it relates to the financing plan as put us in the place as you know that we’ve been able to say that our common equity requirements through the next two years, three years are very modest. So all those factors really contributed to that is strength and confidence in terms of the earnings growth and the capability in terms of dividend growth.
Robert Kwan: Okay and anything within that review of either new business lines or geographies?
Chris Huskilson: Well I would say as we set all along, I don’t think we’re really specifically focused on geography, as I’ll just mention that one for a second. We do - we are quite busy in the Northeast and we’ve got lots of interesting things going on in the Caribbean, that’s - those are facts. But we’re not really specific to any geography other than North America as we sit today. So I wouldn’t say that anything in that angle has change. And when it comes to lines of business, I think the only thing that we’ve been clear with the market about is that we would certainly entertain a gas LDCs today, that is a change that we’ve made, where we wouldn’t - weren’t in that mindset before, we are in that mindset now. And so I’d say that’s the - it’s a minor change I would say from a strategic perspective but that’s the only thing that we have in our view. And I don’t, Scott is there anything else you would add?
Scott Balfour: No. I think you said it well.
Chris Huskilson: Okay.
Robert Kwan: I guess this on the gas LDC, is there anything turned burner at this point or that just something conceptually that you’ll start spending more time thinking about looking at?
Chris Huskilson: Yeah, well we don’t like - Nancy Tower would be bored, so we’re making her work on lots of different opportunities and options as we speak. But we will let you know when there is something to announce, Robert.
Robert Kwan: Okay, fair enough. Just one more kind of question here, if you look at the dividend if that just aggregated you’ve got the significant pump up and then the new growth rate. And so if you are not changing the payout ratio target, can you just talk about the drivers that have change obviously FCA 9 has a huge component of the visibility and the growth, was that more of the lines on the significant pump up and what else is changing within the core business or are there risked capital deployment things that you think are coming to higher probability to drive that higher 8% growth target?
Chris Huskilson: It sounds like it is Scott’s question.
Scott Balfour: So year, really Chris answered it earlier Robert, so it’s really it’s a combination of FCA 9 and the performance of the gas plant to frankly that sort of our increasing confidence now that we’ve owned them for a year and a half in terms of the ability to deliver the kind of earnings growth and profile that we hope we could when we acquired them. And then other of course is the clarity in increasing confidence in terms of Maritime Link with we sit now in the progress of construction and the earnings impact of that obviously has been clear from the outset, we’ve been as transparent as we can of course with that. So it’s really those two things that are driving earnings coupled with the reality that the common equity requirements that we have to finance that capital and the rest of our capital plan are really very, very modest. And so putting those three things together really is what contributes to that view is to the earnings growth and dividend paying capability that we are taking about now.
Robert Kwan: Okay, just to clarify the 70% to 75% payout ratio that’s kind of we should think about that as a little bit more than average over the period?
Scott Balfour: Yeah, I mean will it necessarily be exactly one number at 75%, obviously no, it will bounce around a little bit in EPS growth, of course can be a little bit lumpy. But as we think about our earnings generation capability and our cash generation capability and thinking about sort of running that payout ratio at our cash coverage targets through the next three years and what does that give us in terms of dividend paying capability that’s what’s driving the announcement that we made the flowing.
Chris Huskilson: And Robert just to be crystal clear, so we are setting dividend in Q3 for 2016 which is traditionally what we do as a business and secondly when if you look at our history, we’ve been paying below 70% most of the time, our earnings have actually gone forward faster than our dividend increases have in the past. And so to a large extend this is an effort to try to get those more in line because we have accomplishing something in this range and we want to acknowledge that and move forward. I think that’s really what you are seeing here.
Scott Balfour: And just to pile on a little bit, when we think about the payout ratio, we think about dividends paid against adjusted earnings per share, that’s all we think about when we talk about our payout ratio.
Robert Kwan: That’s great, thank you very much.
Chris Huskilson: Thanks Robert.
Operator: Your next question comes from the line of Matthew Akman from Scotiabank. Your line is open.
Matthew Akman: Good morning. Just wanted to chat a little bit about the acquisition environment and maybe Scott what you thought about in the strategic review and Emera’s stock has held in better than a lot of certainly the midstream but also yield coast and Central Maine and the Power business that can be relevant. So I am just wondering if you see greater acquisition opportunities now, firstly because your cost capitals improved relative to peers slightly. And then the second part of the question is, if you do see acquisition potential improving, would that be potentially with Algonquin or on your own? Thank you.
Chris Huskilson: Thanks Matthew. I mean I think it would fair to say that the activity in the market these days is picking up for sure. I think it would appear anyway that you actually tell those are seeing interest rate increase as that they are seeing in the U.S. and people are getting interest in that. So certainly we are seeing more enquires these days, but at the end of the day, we’re not going to do something and lastly there is extremely accretive for our business and strategically fits with our business. And so those are the things that we are always focused on. As I said earlier, we have now opened up the idea that we would participate in the LDC gas markets and so that does open the field up a little bit for us, but at the end of the day what we do has got to really fit with our business. It’s got to have adjacencies attached to it and it’s got to be accretive for our business. So that’s a tough set of criteria which we are disciplined to stick to and we’ll continue to stick to. And so I don’t know whether you’ll see an acquisition in our future or now because we have to hit that criteria, but if we can hit that criteria then you will see us do something. And certainly our ability to pay will be directly related to the value and the currency of our business.
Matthew Akman: Thank you. And just have a follow-up about Algonquin, where you are looking at stuff what’s all Algonquin still?
Chris Huskilson: Yeah, I didn’t answer that for any reason though and I forgot it. But I think from an Algonquin perspective reason, we have not changed our strategic investment agreement with Algonquin. And I think that’s - that continues to be in force and so we will continue to work with Algonquin as long as that agreement is in place.
Matthew Akman: Thank you.
Operator: Your next question comes from the line of Ben Pham from BMO Capital Markets. Your line is open.
Ben Pham: Thanks everybody. I just wanted to swap on the LDC angle and I am just wondering, you looking at a broader set of opportunities and LDC space in the U.S. or is that more closer to your core area today?
Chris Huskilson: Yeah, so again Ben, we are focused on any specific geography other than North America, so - and the Caribbean obviously, so I don’t - it doesn’t - anything we look at doesn’t have to be in close proximities where we are, what it does have to be though it is has to be accretive and it has to actually come with adjacencies that we see that can turn into more because as everyone knows the premiums on utilities these days are high and so growth rates are critical, adjacencies are critical, what we can do strategically with assets are critical. And so we have not changed our criteria, we are not going to change our criteria. And I don’t know whether it will happen or won’t happen, all I know is that that we’ve said we will look at gas now.
Ben Pham: Okay, thanks for clarifying. And just a smaller item on the corporate restructuring in the Caribbean, can you talk a bit more about, I missed on your earlier commentary?
Chris Huskilson: Yeah, I just would say that as we look at the market in the country, we are seeing two things happening. Number one, they are being challenged by the downturn and not recovering quickly, so growth rates in that market are nowhere near what they used to be and that affects the ability out the utility to be competitive in the marketplace. And secondly, there is a very strong desire and we agree that there is a strong possibility of reducing the amount of fossil fuels in that economy. It’s very much in the country’s interest because of foreign exchange exposure to do that. And we would say that by 2045 that country could be completely clean on the electricity side. So we are focused on that in now it mix the utility somewhat more simple than it has been in the past. It’s a lot more complex to run fossil fuel facilities on these run solar firms and other more simple facilities. So what we are doing is positing that utility through some downsizing to be prepared for that new market both the competitiveness of the country and the lack of use of fossil fuels are really where we are going and that’s why you see us building our new solar firm, we’ll build more, we’ll build some wind and all those things require less people. And so that’s really what’s happening there, getting prepared for that future and doing it in the most productive way.
Ben Pham: And then in your currency budget and your dividend growth expectations, when you expect that be into to really help the results going forward, I know that it is a small component of your business but it is you’ve noted about 1% growth and to release?
Chris Huskilson: Yeah, I mean I think the Caribbean has already helped our results, the returns on investment in that market have been strong and continued to be strong. We need to make sure the utilities continue to be competitive and that’s what you see us doing, but we’re not uncomfortable or unhappy with where that is. But if you remember as a company, we actually have a fuel to asset strategy and that’s in the Caribbean is well positioned to see that fuel to asset strategy go forward. So that I’ll just give the example of the solar firm, we’re investing in that solar firm it’s going to a 12ish megawatt solar firm, it will display the substantial amount of fuel at a much lower cost and so we will get returns from that capital investment displacing fuel that customers will no longer have to pay for at a lower cost. So net-net reducing cost for customers increasing profitability of the infrastructure.
Ben Pham: Okay, thanks very much. Those are my questions.
Chris Huskilson: Thanks Ben.
Operator: And there are no further questions at this time. I turn the call back over to the presenters.
Chris Huskilson: Okay, well thank you very much for taking the time this morning and for your interest in Emera. And we hope everyone has a great afternoon. Thanks.